Operator: Thank you for standing by. This is the conference operator. Welcome to the NovaGold 2025 Third Quarter Report and Donlin Gold Update Conference Call and Webcast. After the presentation, there will be an opportunity to ask questions. Webcast viewers may submit questions through the text box in the lower right corner of the webcast frame. I would now like to turn the conference over to Melanie Hennessey, Vice President, Corporate Communications. Please go ahead.
Melanie Hennessey: Thank you, Ashiya. Good morning, everyone. We are pleased that you have joined us for NovaGold's 2025 Third Quarter Webcast and Conference Call and for an update on the Donlin Gold project. On today's call, we have NovaGold's chairman, Dr. Thomas Kaplan, President and CEO, Greg Lang, and Peter Adamek, NovaGold's Vice President and CFO. At the end of the webcast, we will take questions by phone. Additionally, we will respond to questions received by email. I would like to remind you of, as stated on slide three, any statements made today may contain forward-looking information, such as projections and goals, which are likely to involve risks detailed in our various EDGAR and SEDAR filings, and forward-looking disclaimers included in this presentation. With that, I will now turn the presentation over to Dr. Thomas Kaplan.
Thomas Kaplan: Thank you very much, Melanie, and thank you to all of those who are joining our call today. Obviously, we have quite a bit to discuss with you, but I'm happy to say that it's really all very, very good news and what I expect will be the beginning of a consistent pattern of progress that is going to amply reward our stakeholders. As you can see, we are building the path to what will be quite literally the largest single gold mine in the United States. This comes at a time when we're not only in the foothills of a historic gold bull market, but also comes at a time when both the concept of money as well as jurisdictional safety are more important than ever before. Many years ago, when I spoke about jurisdictional safety, people thought I was being a little bit alarmist. But they couldn't avoid the fact that I had standing in South Africa, in Zimbabwe, and Congo, so I knew whereof I spoke before I went into the energy business in the United States and ultimately went back into gold and silver mining. Building what will be America's largest gold mine makes it a strategic asset with potential sources of funding from nations that is really the best that we've ever seen in our lifetimes. Let me take you now to slide five. We refer to this as the catalytic transaction. And the reason for that is, as many of you know, since 2021, when we announced to the world with our partner Barrick, that we were going to feasibility. To put it simply, we were held back. If we had managed to proceed as pledged, we'd already be through the feasibility, through financing, and very possibly breaking ground on construction. So we have some time to catch up. But very importantly, we also have the opportunity to catch up with our share price. Earlier this year, we touched a low of $2 and change. We are now close to double digits. And when I said that I do believe that the stock would go from $3 or 3 and a half dollars, back to the $12 to $15 area, just as our first stop. In fact, essentially, going back to where we were before we were paused in our progress, it may have come across as rather bold. Well, what you can see here in this chart is clearly out of date because it should extend up on the right-hand side considerably more over the last few days. What you see is that a fire was ignited. When we swapped a partner with whom we were not aligned with a partner with whom we are perfectly aligned. So essentially, what you are seeing is a revaluation of NovaGold. For those of you who have been with us for a very long time, all I can say is I wish this had happened earlier, but it really was outside of our control. But I can assure you, the first opportunity that we had to put it back into our control, we took it, and as we can see from this price chart, our investors haven't really had to look back. And as far as we can see, this is just the beginning. On slide number six, you see just putting where we were in '21 takes us to the $12 to $15 area. And I believe that from there we double again. Historically, we outperformed the GDXJ. In fact, we've always been, until the last few years, one of the go-to stocks in the gold development space. Because when an investor, if there were investors interested in that space, would ask the question of a broker where can we get access to a great asset that's well managed, responsibly managed, but also in a jurisdiction where we might actually want to visit, we were able to get some of that flow. I think that that flow, which is now turning into a torrent, is going to benefit NovaGold as much as, if not more, than any other large-scale development story for reasons which I will be explaining. But with this chart, you see two things. Number one, our historic outperformance versus the GDXJ, but also, I don't want to be distortive, if you look at where we went from peak to trough earlier this year, that was entirely the product of not having the right partner with us in this story. And the reversal, the beginning of the reversal, phase one to take us back to the $12 to $15 area is because we have a perfectly aligned partner with gold at our backs. Slide number seven. When we talk about that Phase two which takes us from 12 to 15 to 30, which in full transparency is the target price that both John Paulson and I have set for where the stock really should be now, and would have been if we weren't set back over the last few years. This is classic. We are now on the path to rerating across the development phases of our progress to America's largest gold mine. This isn't actually rocket science, and if anything, the gold price and the revaluation and reappreciation of gold as a monetary asset that you want to own and if it's in the ground, you want to own it in a place where the rule of law is not a novelty, has only grown in our favor. This advance has been aided, as you can see on Slide eight, by having the Paulson team with us. John is someone that I've known, worked with, and loved as a partner and as a friend, for well over fifteen years. He is the archetype, a paradigm of a mensch, of somebody whose word is their bond and we've had nothing but a great business experience. And in fact, the negotiation of this deal reflected that. He always put himself into the other side's shoes in order to be able to make a deal a true win-win. I don't have to say much about John Paulson other than if there's anyone who is famous for identifying the big trade and finding the vehicle with which he that trade to multiply his and his shareholders' money, it's John Paulson. He did so very famously during the subprime crisis, but he's also done that in a way that is maybe even unique among big generalist investors in the gold space, with specific stocks that he has served as a catalyst for being able to recharge them and remultiply their value. If you look at slide nine, you have a great case study with the turnaround of Detour Gold, where it was, the nomination and the putting in of John's director slate that led to the optimization of the mine plan and ultimately Detour acquiring Kirkland Lake, and Agnico acquiring Detour, and anybody who has stayed in over that time is probably up about 500%. During a period that we know is not characterized by such outsized winds. If you look at slide 10, more recently, you have a case study of what the Paulson team has done to be able to take Perpetua from what was a year or so ago a $3 stock now well into the twenties on the back of its gold and its being a critical mineral provider for The United States. When you look at the different tranches along the way, you can clearly see a thoughtful as well as a successfully impactful value creation model for both Detour and Perpetua. Now for something a little bit different, if we go to slide 11, this is not as egotistical as it seems. It's in order to be able to underscore certain points which I would like to make to shareholders of NovaGold. Many of whom over the years have become very close personal friends. And there are a few things that really aren't spoken about, as much at this time as I think perhaps should be. Fortunately, they are, for better or worse, all pointing to NovaGold as being the holy grail in the gold space. For many, many years, and this is just simply to validate the statement I have argued, going back to $550 gold, that the first equilibrium price for gold would be between 3,000 and $5,000. Why 3,000 to $5,000 I was asked, and I said because I easily see it when it breaks out. Going to $5,000 and as things get more volatile, perhaps correcting to 3, before it goes to another area. In some of the interviews I gave to David Rubenstein, some in writing, I made mention of my view that 3 to $5,000 was a first equilibrium level based on the fundamentals that I saw at the time. And I must pause to say that this is before the global financial crisis. I knew when this happened that that forecast would be superseded by another one, but as gold was staying in a trading range I saw no reason to ruin whatever credibility I'd lost by saying publicly when gold was $550 that I saw it multiplying tenfold, to just basically keep my mouth shut and maybe allude to it. Well, I'd like to take you to slide 12, and revisit some of the important fundamentals for gold. Gold is in a major, major, major bull market. And for years, I have said, when asked what can go wrong, in my thesis, the one thing that has made me nervous is that I couldn't find a reason. This goes back now to 02/2007, 02/2008. And if anything, everything that has transpired since then has only affirmed in my mind that there's a reason why the prudent man rule was devised in order to measure the risk of all against what was viewed as the safest asset gold. Now, gold is definitely money, people have definitions of what money is, what a currency is, but the reality is that nothing has had a longer pedigree as a historic safe haven. Certainly those who've said that that no longer exists have missed out on the early stages, the early innings of what I see is gold being in a much bigger bull market than what we've seen. It's proven to be a fabulous asset diversifier, it's been a protection against deflation, it's been a protection against inflation, the emerging market demand has been exquisite, I've said for so many years, whenever you see the Indians and the Chinese, competing over who can be the biggest buyer of a scarce asset, you just want to own some of it. Every Indian every Chinese, since the dawn of mankind who has placed faith in gold, is making a killing. We call that in psychology positive reinforcement. More importantly, every investment banker who had the guts to say we shouldn't sell our gold, or even was willing to bet a body part that they should be buying gold. Has probably been issued the order of the fatherland for their prescience. They have seen the revaluation of gold which is so critical for central banks. Meanwhile, on the demand side you've got all of these tailwinds. But look at what you have on the supply side. Discoveries in bold, are so few and far between. Anything of size is rarer than a hen's tooth. And the fact is, to be able to take a mine well, to be able to take a prospect to what ultimately is a producing mine has been variously estimated at between 1,000 to 10,000 to one against the explorer. Meanwhile, if you are lucky enough, on average, it takes twenty years plus to be able to take that project from a discovery through to a mine. In other words, in terms of supply, coming out into the market from gold companies, number one, the horse has already left the barn. Number two, we won't have to see the, the results of that for twenty years. And unlike hydrocarbons, you have no large trapped spaces where you have the hydrocarbons but you have to figure out how to get it out. It just doesn't exist in gold. In other words, depending on your point of view, it's either the perfect alignment of stars or it's the perfect storm. One way or the other, I have no doubt that every portfolio manager is going to end up having an allocation to gold. Do I think they're going to go back to 10% to 15%? As was the norm through the 1970s? Well, if we even approached a few percent gold will already probably be five digits. So let's discuss what a real bull market looks like and why someone who does have standing can explain his view could be completely wrong. It's a forward-looking statement. Probably should say, you know, don't listen to what I'm saying but let's look at the next slide. Let's look at slide 13. Slide 13 is the Dow Jones since the nineteen seventies. And what you see in that bull market is almost imperceptibly the Dow breaking out of was a thirty-year trading range between 800 and a thousand. Breaking above a thousand. Now the old timers who knew that you go short when that happens were blown away by the young people with red braces or suspenders, who thought, this time is different. And here's the thing about this time is different. You know? A lot of us, you know, will say, yeah. When you hear that, you know, you you think of people drinking Kool Aid except for one simple fact. Every reversal is characterized by that time indeed being different. And that's what happened to the Dow in the nineteen eighties. As a curiosity, want you to go back and look towards the mid nineteen eighties and maybe you need glasses, but look at that blip. That blip which barely is noticeable, that is the crash of nineteen eighty seven. That a lot of us thought was going to be the harbinger of the four horsemen of the apocalypse. That's you can't even see it as the Tao marched from a thousand to a 45 plus leap in value over the decades. Now I don't think this is a spoiler alert, it's entirely possible that we will see something similar happening in gold. Think it was announced yesterday that for the first time, the gold in Fort Knox is worth over a trillion dollars. That's interesting. But what's fascinating is that gold has now surpassed the euro as the second largest global reserve. Asset. Now many of you will say, well, that's because of the price appreciation. And my answer to that would be, yeah. No kidding. However, we really do have to understand that this is a major, major statement about the reappraisal of gold as a monetary asset at a time when we are in the world in unchartered waters, not just in terms of the financial markets and debt, trade, and, of course, geopolitical trends which are unlike anything that we've seen since the end of the second world war. But I'd like to quote Ray Dalio, who I think is really probably the best applied historian. Of those who are in the financial world. Gold is now the second largest reserve currency behind the US dollar. To understand why, you need to look at the history of fiat currencies like the dollar and hard currencies like gold. The way I see it, we're currently facing a classic currency devaluation similar to what we saw in the nineteen seventies or in the nineteen thirties. In both of those cases, fiat currencies around the world all went down together and also went down in relationship to hard currencies like gold. Now what does that mean? Years ago, when gold still sported a 1,000 handle, Ray Dalio said that anyone who doesn't own gold either doesn't understand economics or the history of gold. And not wanting to be cast as a gold bug, he put it in a very sober way and just said, you should own some gold. Which of course was echoing things that I said, and of course other great proponents of gold as well. We were hardly unique, but you know, we probably could have fit into a relatively small restaurant or a dining table. But in any event, what we're seeing now is an epic epic reversal. In the same way as the dao going to 3,000, and having a correction, that took it down and anyone who held and just basically said that's a correction. Some had the perspicacity to say I'm going to buy more. But those who understood that this is the natural cycle, and held it have had one of the great generational trades in world history. I believe that the same is taking place in gold. Itself now. I don't believe that we're in nosebleed territory. Of course, we can have a correction. We will, at some point along the continuum, and I would argue people should keep some powder dry, and when that correction comes, have the guts. You know, don't don't freak out. Have the guts to add to that position because the next wave up is going to be very very sweet. This is going to be a very, very long wave in gold. Didn't want it. I've been thought about that for years, alluded to it, say it until I thought at least I have the credibility for my first phase. To be in place. Now, what does that mean for NovaGold shareholders? Well, the great news is that it has the potential to give NovaGold and the very, very few large scale, well managed high grade, high volume assets to be able to get by far the premium rating. In this space. I do believe that we will see, US assets be valued if they have exploration potential for sure, with 0% discount rates. Because of jurisdictional safety. The flip side of that as one who did really well in Latin America and Africa, is that I do believe that in most countries, certainly those where the rule of law is more of a novelty, like in West Africa, we're seeing, but it's also happening in other places. Gold mines are going to be nationalized. And this would be extremely sad. There's nothing worse than all of you who are bullish on gold may even have bought into a great asset, I'm not saying that there aren't really excellent assets, in unsafe jurisdictions. But then have it taken away from you because they were great assets, in places where governments basically said, wait a minute, you're minting money. You're really minting money. It's not a slogan. We want that. It's force majeure. A choice between your shareholders and our shareholders which is our population. And I tell you, there won't be any governments which will have any sway with these governments when they pull off that trick. We've seen it and no matter what your relationships are in that country, it won't mean anything. Mark Bristow did more to put Malley on the map than any other human. They rewarded him with his fidelity, and his charisma, by basically stealing the asset. Mongolia tried to do the same with Bob Friedland, we saw what's happened to you know, companies with assets in Panama, in Guatemala, this is a contagion, it's a disease because when governments, whether they're autocrats or democracies, see someone else being able to get a better deal, they have to be able to respond by giving at least as good a deal to their own shareholders or have the risk of being accused of being in the mining company's pocket, or simply not attending to the needs of their people. So again, this is a public service announcement from someone who's been there and seen what these countries are like and managed to get out with 100 x returns in silver in Latin America, in platinum in palladium in in Africa, and gold. I sold Kibali to Mark Bristow. Wonderful mine. I hope and wish for the best for Barrick in Congo. Also in Pakistan, these are different philosophies, but my attitude is I have adopted Woody Allen's famous line, I'm not afraid of death, I just don't wanna be there when it happens. And why would I want to when for all the reasons that Greg Lang is going to be laying out, you have everything that you could possibly want for a high octane high volume, high grade, low cost producer in the safest jurisdiction in the world. Or as we'll see on the next slide, slide 14, what we call maximum leverage. To gold but in a jurisdiction that will allow you to keep the fruits of that leverage. Now what you see here is with gold at $3,500, you have at 0% discount rate $50,000,000,000, and that makes no allowance for the extraordinary inevitable exploration upside that we have at Donlin, so much so that I contend that it's entirely possible, forward looking statement, disregard everything I'm about to say, that the next Donlin will be found at Donlin. Only 5% of that district has been explored. Only three kilometers of eight kilometer mineralized belt, the 5% has the 40 plus million ounces. Of gold that we already believe can add tens of millions of. So when you think that 95% is unexplored, now you understand between that and being based in The United States in one of the safest jurisdictions you can see why I do believe a 0% discount rate will be justified. But even so, we're nearly $20,000,000,000 at an NPV five. For Donlin, the $12 to $15 target that we've set as phase one for the doubling of NovaGold is not is not unreasonable by any stretch. I hope it will prove to be cautious. One thing that I would say is for us as investors in this space for over thirty years, you want to seek great assets in great places with management that knows how to build things and shareholders, I must say, who are aligned. And you have all of that in NovaGold. So before Greg goes more granular, this is why you're going to see what we hope to be, a steady stream of good news that will more than make up for lost time but take us on the path to building America's largest gold mine. We are already working with top tier firms to be able to position us for the bankable feasibility study. Bankable feasibility study will be coinciding with advanced engineering. We hope to begin construction in 2027, 2030 being our target. For production. I also have to point out that the first ten years we'll be producing roughly 1,400,000 ounces a year. That's why we'll be the largest, in the country. But it's entirely possible that, we would be able to sustain that production. Start with a twenty-eight year mine life. So for all of the reasons that you see, we are very, very comfortable that this project will be able to be financed sovereign wealth funds, it's entirely possible. That governments closer to home may take a very great interest in this strategic asset. They are off take providers, and, of course, we believe that the equity, will be a multiple of where it is today when we have the construction decision and that we will be comfortably positioned to be able to pull the trigger and, really enjoy the fruits of what we and our native corporation partners and Alaska have been waiting for so long. And with that, I will pass the baton to my brother in arms, Greg Lang.
Greg Lang: Alright. Thank you, Tom. Next, I'd like to introduce Peter Adamek, our Chief Financial Officer, to cover the third quarter highlights.
Peter Adamek: Thank you, Greg. Turning to our operating performance on Slide 17. NovaGold reported a net loss of $15,600,000 in 2025. This represents an increase of $4,900,000 from the comparable prior year period, primarily due to higher field expense at Donlin Gold and higher general and administrative expenses. NovaGold's third quarter results reflect the company's 60% interest in Donlin Gold, following the closing of the acquisition of an additional 10% of Donlin Gold at the beginning of the quarter on 06/03/2025. Donlin Gold expenses in the third quarter and the first nine months of 2025 were higher with increased site activity in 2025 compared to the prior year when field activities were minimal. General and administrative expenses increased in the third quarter from the comparable prior year primarily due to higher share-based compensation partially offset by lower professional fees. Turning to slide 18. Our treasury decreased, excuse me, our treasury decreased by $193,500,000 to $125,200,000 at the end of the third quarter primarily due to the closing of the acquisition of an additional 10% of Donlin Gold. This was partially offset by the exercise of an over-allotment option from our May equity offering, providing an additional $25,500,000 to the company in the third quarter. Consideration paid and transaction costs incurred totaling $210,100,000 for the 10% acquisition of Donlin Gold were capitalized to the company's investment in Donlin Gold. Excluding the Donlin acquisition, and over-allotment exercise, corporate G and A costs during the third quarter declined by $300,000 and our share of Donlin Gold funding increased by CAD 5,200,000 due to the company's increased Donlin Gold funding obligation and increased site activity in 2025. Moving to slide 19, as discussed on the previous slide, our treasury decreased to $125,000,000 at the end of the third quarter. Following the acquisition of an additional 10% of Donlin Gold on June 3, a reexamination of the Donlin Gold budget was completed by the current owners of the project. Some activities that were originally planned for 2025 were redirected to support work on the bankable feasibility study. With no material impact expected on Donlin Gold's previously announced $43,000,000 budget for 2025. As such, NovaGold's pro rata share of Donlin Gold's $43,000,000 budget has increased to $24,000,000 in light of the company's incremental 10% funding obligation starting in the third quarter. Our share of funding for Donlin Gold in the first nine months of 2025 was $18,500,000, which is in line with the revised 2025 guidance. Also, as a result of the closing of the Donlin Gold transaction, we expect to incur higher professional fees for the year resulting in an increase of NovaGold's 2025 corporate G and A costs to $18,000,000 from our previous guidance of $16,000,000. I will now turn the presentation over to Greg to discuss third quarter highlights.
Greg Lang: Yeah. It was a very active quarter for NovaGold in Donlin. In September, we completed the 18,000 plus meter drill program. This program employed over 80 people, including locals from 22 villages in the region that supported the drilling, logistics, environmental monitoring, and other site activities. We hosted numerous visits during the quarter. We had five separate visits. These included tours with investors and analysts, had an owner's tour with our partners, Chelista and TKC. And we've met with people that can provide infrastructure support to advance the project. In addition, Donlin welcomed the Crooked Creek traditional tribal council to visit the site. This is the closest community to the project. Other tours included representatives from the state of Alaska, the congressional delegation, as well as representatives from Senator Murkowski, Sullivan, and Senator Begich offices. Additionally, we finalized more shared value statements with communities in the region, increasing this total to 19. We continued to build on the progress of our aquatic habitat restoration project and improved access for the local resident fish areas impacted by historic placer mining. And lastly, Donlin continued to be active in a variety of community events that celebrated cultural preservation, strengthened stakeholder relationships, and promoted the economic, and social well-being of the people in the region. Turning to slide 22, the completion of the drill program which was expanded to support the new resource model and advancement of the bankable feasibility study reinforces our project's long-term development strategy. This year's program with initial results confirming consistent mineralization across multiple zones including the top five intervals with grades ranging from about four grams up to 23 grams per ton. The drilling focused on three principal activities, grid drilling, to further assist the mine planning efforts, in-pit exploration drilling focused on enhancing the geologic modeling and supporting resource conversion. And finally, geotechnical drilling for pit wall stability and mine design material sites for the access road from the port to the Donlin Gold site. Reclamation of all of the excavations from this program have been completed. Turning to permitting and litigation-related activities. We have submitted the preliminary design package to the state agencies, and the process is underway. This will complete the submission for the tailings dam and related water retention structures. In the state litigation, we continued to support the agencies in defending their issue of the Donlin water rights pipeline in the four zero one certification. The case is challenging these aspects of the project have been fully briefed. And argued before the Alaska Supreme Court with decisions anticipated in 2026. In the federal litigation, the district court issued an order on remedy denying the to vacate the permits and remanding the case to the agencies to supplement the NEPA analysis. The court retained jurisdiction over the case during this remand and ordered the agencies to file updates within the court. We understand the regulatory aspect. Donlin and Gold and its partners are committed to supporting the state and federal agencies in the defense of our permits. My next few slides really touch on the highlights of Donlin Gold and its key attributes that make the project unique. Turning to slide 25, Donlin will be a big mine. It will average over a million ounces a year throughout its twenty-seven-year mine life. With cash costs well below industry averages. Not only is it big, but it's great grade at and a quarter grams. It's one of the highest grade undeveloped open pit deposits in the industry. As our chairman articulated, we have tremendous exploration potential both at depth a long strike, and within a district is substantially underexplored. Alaska is a great place to do business. It's a state that understands and supports a well-established tradition of responsible mining. Our project is on private land owned by two Alaska native corporations. We have life of mine agreements in place with both of them. Our federal permits are in hand. And state permitting what little remains, is well on track. We're committed to environmental stewardship, and the well-being of our people our communities. We've long enjoyed strong support from our dedicated long-term institutional investors. Donlin's a strategic asset. As envisioned today, it would be America's largest gold mine. Of all the developing projects out in the industry, none have a production profile approaching that of Donlin. Its first ten years will average 1,400,000 ounces a year, followed by many decades over a million ounces per year. Turning to the next slide. Grade really separates Donlin. From the other development gold projects. At grades of two and a quarter grams, it's better than double the global industry average grade. Which is just barely over one gram. So this high grade that contributes to the low cash cost. This slide depicts the mineralized trend at Donlin. The 40,000,000 ounces are contained in and around the ECMA and Lewis ore bodies. The remaining five kilometers of the eight-kilometer trend has goal bearing intercepts. Already in place. When the time is right, we will resume drilling a long trend and we will continue to explore the remaining areas of the property. Yeah. Alaska is a great place to do business. We were up in Alaska with the new owners, the Paulson team, we met with the governor, and he reiterated the importance of Donlin to the state of Alaska. You know, Alaska is already the second largest gold producing state in The US. With a well-supported and well-served mining industry. It's one of the top jurisdictions globally. Where it ranks third out of over 80 jurisdictions. The Donlin project is on private land is owned by two Alaska native corporations. Chelista owns mineral rights and TKC owns the surface rights. This land was transferred to the native corporations for their economic self-determination and it was designated for mining-related activities. In essence, they have a treaty with the US government that permits mining to occur. On what is now their land. Permitting is an arduous process in The United States. One we know very well. Our key federal permits are in hand. And the final state permits related to the Tailings Dam and water retention structures are well advanced and we anticipate receiving these remaining permits well in advance of completing the bankable feasibility study. Our environmental, social, and governance track record is impeccable. We have a well-diversified board. The Donlin site has worked over a decade without a lost time accident. We value our people, we value the environment. And that's reflected in all of our activities. NovaGold has always enjoyed strong institutional shareholder support. And this is true to this day. Over 60% of our shares are held within the top 10. And you can see on the list very well informed, well-seasoned gold investors who understand the depth of the opportunity that NovaGold brings. To our shareholders. You know, upcoming catalysts for the company now that we have the new owner's trip strip ship structure in place. The project's future in is in focus. We are building on this momentum. As we enter the next phase of development. To maximize the value proposition of Donlin Gold and the exceptional leverage we bring. Our near-term catalysts include awarding a contract for the bankable feasibility study by year-end. The selection process for this is well advanced. We also anticipate releasing the drill results that remain from the program we completed in September. We are gearing up discussions to evaluate potential financing sources. To support these activities, we are building out the project team for Donlin. And finally, we continue to support the state and federal agencies as they defend the permits they issued following a very rigorous process. We continue to engage with stakeholders throughout the state of Alaska and we remain committed to being transparent and addressing the issues that are important to them. Thank you. We'll now open the lines for questions.
Operator: Thank you. To join the question queue, you may press. You will hear a tone acknowledging your request. If you're using a speakerphone, please pick up your handset before pressing any key. To withdraw your question, please press star then 2. Webcast viewers may submit questions to the text box in the lower right corner of the webcast frame. We will pause the moment as callers join the queue. The first question comes from Saundaria Iyer with B. Riley Securities. Please go ahead.
Saundaria Iyer: Hi, team. Congratulations on the quarter. I'm Saundaria on behalf of Nick Giles from B. Riley Securities. Just touching on the exploration drill results. So I mean, all of the top five drill results are, like, impressive and above the current resource grade. With high-grade intervals up to 23 grams a ton. Could you provide more color on how these results compare to your resource model expectations? And the continuity of the ore body?
Greg Lang: Sure. Well, yeah, thank you for joining the call this morning. We were very pleased with the results. You know, we need a couple things to point out with them. You know, we were drilling under-explored areas of the pit. And we encountered mineralization in areas that were previously modeled as waste. So it demonstrates the potential that still exists in and around known ore bodies. You know, the best place to look for gold is at a gold mine, and we're certainly demonstrating that. The other important aspect to point out about the drilling is one of the analysts took all of the intercepts and added them up and averaged them. And they came out just under four grams. And I think when you look at that random sampling of four grams over, you know, 18,000 meters, you compare that to the average grade of Donlin at two and a quarter grams, just, you know, random drill results really demonstrate that there is still upside potential at the Donlin ore bodies and that with further drilling, which we anticipate doing over time, and we expect to continue to increase and enhance our knowledge of the ore body. Thank you.
Saundaria Iyer: Thank you for that. Just to follow on on that one. So are we planning to update the resource and incorporate these results before we put out a bank feasibility study?
Greg Lang: Well, we are you know, we've released the results of about half of the assays from this year's drill program and probably within the next month as the assays come in, we will release the balance of them. You know, the results from this year's drill program will be incorporated into the geologic model that we use to support the bankable feasibility study.
Saundaria Iyer: Got it. I appreciate the color. I'll hand it back. Thank you.
Greg Lang: Thank you.
Operator: The next question comes from David Lebensky with Accurate. Please go ahead.
David Lebensky: Yes. My question is to Tom Kaplan. To me, it seems like common sense that if I was a royalty company that I would approach NovaGold prematurely to get the best deal. So I guess my question is, can you elaborate on the interest in royalty companies as far as financing the project?
Thomas Kaplan: Well, first of all, thank you for the question. And typically speaking, I would cite Voltaire who said that common sense is not so common. However, the royalty companies do possess common sense, and I think it's very fair to say that, should we wish to enter into a royalty or a stream or any other instrument of that kind, we are pretty assured that that would be forthcoming. The royalty companies do exhibit common sense. It's part of the business model.
David Lebensky: And the second question is, have you contemplated these mini nuclear reactors instead of natural gas for power for Donlin? Have you explored that?
Greg Lang: Sure. You know, when we've looked at powering the Donlin project site, you know, we've considered all options. And, you know, nuclear reactors, you know, that's curiosity. But I think it's still many, many years out into the future. And natural gas remains really the best way of powering the Donlin site. There's a development that we're following with great interest up in Alaska. And that's the president has, you know, keen interest in seeing a pipeline built to deliver natural gas from the North Slope into the Cook Inlet. And the Cook Inlet is where Donlin plans to import their natural gas. So, you know, this pipeline, if built, could certainly be very beneficial to the project to have a cheap Alaska-based source of natural gas. So we're following that very closely, and, you know, we will continue to monitor development with the small-scale reactors. But, you know, like I said, I think that's many, many years away.
David Lebensky: Okay. Thank you, and congratulations on all the work you guys have been doing, and I really appreciate it.
Greg Lang: Thank you. Great. We have some questions. Alright. Go ahead, Emily.
Emily: Mhmm. Yeah. We have some questions coming in from the line, from the webcast. The first coming in from Matt Kovacs, I am so happy that John Paulson has joined. I know that this will accelerate the process. Is there any new projected date for construction to take place?
Greg Lang: I think as outlined in our presentation today, our immediate focus is getting the bankable feasibility study contract awarded. And taking that work off in 2026. And we will complete that work in about eighteen to twenty-four months, you know, positioning us to make a construction decision. Once that decision is made, it would take about four years construction to build the site. So that puts commercial somewhere around the year 2031.
Emily: We have a few questions coming in from Chris Gates. Any updates on the Tailings Dam permit? Do you expect any opposition?
Greg Lang: The Tailings Dam permit, you know, just for background, you know, that's the last remaining state permit. You know, the federal permit authorizes us to disturb land, and that includes the Tailings Dam. But in Alaska, structures like that are administered by the state and require final engineered drawings before the state will issue the permits for operation. So we always knew it was an expensive permit to obtain because of the geotechnical drilling and the engineering to support the design. So we waited until that was, you know, later in the project line. Several years ago, we completed the geotechnical drilling, and, you know, we've submitted the preliminary design packages to the state, and they're under review. So we anticipate we will have these permits in hand well the bankable feasibility study is done. And you know, the state is, you know, very familiar with large-scale mining operations. And we expect these permits will be in hand in the normal course of the process.
Emily: And then the final question also from the line of Chris Gates. Any updates on the Alaska Supreme Court decision?
Greg Lang: No. The cases before the Supreme Court are fully briefed and we are awaiting decisions. And we are optimistic that we will continue to prevail in the courts as we have every step of the way. But we are awaiting the decisions that could come at any time or could be six, eight months into the future. So we're just anxiously awaiting that. I think that concludes our webcast for the third quarter. Thank you for taking the time to join us.
Thomas Kaplan: Thank you, everyone. Take care. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.